Operator: Good day, ladies and gentlemen, and welcome to the Bank of Hawaii Corporation First Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions]. As a reminder, this conference may be recorded. I'd now like to turn the conference over to Cindy Wyrick, Director of Investor Relations. You may begin.
Cindy Wyrick: Thank you, Sania. Good morning, good afternoon, everyone. Thank you for joining us today as we review our financial results for the first quarter of 2019. Joining me today is our Chairman, President and CEO, Peter Ho; our Chief Financial Officer, Dean Shigemura; and our Chief Risk Officer, Mary Sellers. Before we get started, let me remind you that today's conference call will contain some forward-looking statements and while we believe our assumptions are reasonable, there are a variety of reasons that the actual results may differ materially from those projected. And now I'd like to turn the call over to Peter Ho.
Peter Ho: Thanks Cindy. Hello everyone and thanks for joining us today. Bank of Hawaii began 2019 with strong financial performance. Our asset quality remained strong, margin expanded, our expenses were well-controlled and our liquidity and capital levels remain robust. Assets, loans and deposits all grew during the quarter. Outstanding loans increased 1% from the previous quarter and were up 6.4% from the same quarter last year. Deposit growth was particularly strong during the first quarter up 1.6% from the previous quarter and up 2.1% from the same quarter last year. Total deposits of $15.3 billion at the end of March set a new record high for deposits at Bank of Hawaii. Now I'll ask Dean to provide you with some additional details on our financial performance for this quarter and our outlook for the remainder of 2019. Mary will then comment on credit quality. Dean?
Dean Shigemura: Thank you, Peter, Net income for the first quarter was $58.8 million or $1.43 per share compared to $53.9 million or $1.30 per share in the previous quarter and $54 million or $1.28 per share in the first quarter of 2018. Our return on assets during the first quarter was 1.38%, the return on equity was 18.81% and our efficiency ratio improved to 55.22%. Our net interest margin for the first quarter was 3.12% up two basis points from the fourth quarter of 2018 and up 12 basis points from the first quarter of 2018. Net interest income on a reported basis in the first quarter increased to $124.8 million up from $124 million in the previous quarter and $119 million in the same quarter last year. During the first quarter of 2019, we repositioned approximately $400 million in investments largely comprised of municipal securities at no material gain or loss on sale. The reinvestment differential was 114 basis points on a taxable equivalent basis with no material change in duration. The portfolio repositioning as well as overall balance sheet growth is expected to improve net interest income going forward. However given the current rate environment as well as our strong liquidity position at the end of the first quarter, we anticipate net interest margin maybe flat to modestly lower in the second quarter. As Mary will discuss later, we recorded a credit provision of $3 million this quarter. Non-interest income totaled $43.7 million in the first quarter of 2019 compared with $42.1 million in the previous quarter and $44 million in the same quarter last year. Non-interest income in the first quarter of 2019 included a one-time $1.4 million insurance commission related to products we offer through a third-party administrator. In addition we incurred approximately $800,000 of fees related to the ongoing carrying cost of our sold beta position not related to the portfolio repositioning. There were no significant items during the fourth quarter of 2018. Non-interest income for the first quarter of 2018 included a gain of $2.8 million from a low-income housing investment sale. Non-interest revenue is expected to remain at approximately $42 million per quarter for the remainder of 2019. Non-interest expense totaled $93.1 million in the first quarter of 2019 compared with $95.9 million in the previous quarter and $94.4 million in the same quarter last year. Non-interest expense in the first quarter of 2019 included seasonal payroll expenses of approximately $2.7 million. Non-interest expense in the fourth quarter of 2018 included a true up of $1.7 million to medical expenses primarily related to a single claim and charges of $1.3 million in legal and operational matters. Non-interest expense in the first quarter of 2018 included seasonal payroll expenses of approximately $2.5 million in a legal reserve of $2 million. For 2019, we expect noninterest expenses to be approximately 2% to 3% above our adjusted 2018 expenses of $365 million. The effective tax rate for 2019 was 18.85% compared with 20.92% during the previous quarter and 16.19% during the same quarter last year. The first quarter of 2019 included a tax benefit of $1.9 million related to an exercise of an early buyout option. The tax rate during the first quarter of 2018 included $2 million -- included a $2 million benefit related to our low-income housing investment. As a result of our portfolio repositioning, which reduced our exposure to municipal securities, we expect the effective tax rate for the remainder of 2019 to be approximately 22%. Our investment portfolio was $5.5 billion at the end of the first quarter, up slightly due to strong deposit growth that exceeded loan growth during the quarter. Premium amortization during the quarter was $6.3 million down from $8.1 million in the previous quarter and $9.5 million in the same quarter last year. The duration of the total portfolio was 3.26 years at the end of the first quarter of 2019 that held to maturity portfolio duration was 3.7 years and the duration for the available-for-sale portfolio was 2.4 years. Our shareholders' equity increased to $1.27 billion at the end of the first quarter. Our Tier 1 capital ratio was 12.75% and our Tier 1 leverage ratio was 7.46%. During the first quarter, we paid out $25.6 million or 44% of net income in dividends and repurchased 513,400 shares of common stock for a total of $39.9 million. We repurchased an additional 114,000 shares between April 1 and April 18 at a total cost of $9.2 million. And finally, our Board declared a dividend of $0.65 per share for the second quarter of 2019, an increase of 5% from the first quarter dividend of $0.62 per share. Now I'll turn the call over to Mary Sellers.
Mary Sellers: Thank you, Dean. Net charge-offs for the first quarter totaled $3.7 million or 0.14% annualized of total average loans and leases outstanding as compared with net charge-offs of $4 million or 0.15% annualized in the fourth quarter of 2018 and $3.5 million or 0.15% annualized in the first quarter of 2018. Nonperforming assets were $17.9 million or 17 basis points at the end of the first quarter, up from $12.9 million or 12 basis points at the end of the fourth quarter and up from $15.7 million or 16 basis points at the end of the first quarter of last year. The increase for the quarter was primarily driven of the $3.9 million balance of a commercial mortgage loan that was placed on nonaccrual this quarter after a $1.6 million charge down. Loans past due 90 days or more and still accruing interest totaled $6.1 million compared with $6.6 million at year end and $8.2 million at the end of the first quarter of '18. Restructured loans not included in nonaccrual loans or loans past due 90 days or more totaled $448.6 million down 160,000 from the prior quarter and down $8.2 million year-over-year. Residential mortgage loans accounted for $19.6 million of the total. At the end of the quarter, the allowance for loan and lease losses totaled to $106 million down 700,000 from the end of '18. Accordingly, given net charge-offs of $3.7 million and credit provision of $3 million was recorded. The ratio of the allowance to total loans and leases was 1.01% at the end of the quarter, down 1 basis point for the linked period and down 8 basis points year-over-year. The allowance reflects the continued strength in the company's asset quality as well as the Hawaii economy over this period and the mix in loan growth. The total reserve for unfunded commitments was $6.8 million at the end of the quarter, unchanged from the fourth and first quarters of 2018. I'll now turn the call back to Peter.
Peter Ho: Great. Thank you, Mary. The Hawaii economy continued to perform steadily during the first quarter. Our statewide unemployment rate was 2.8% in March and remains very low compared to the unemployment rate of 3.8% nationally. This year stats year-to-date February were a bit mixed. For the first two months of 2019, total visitor arrivals increased 1.8% although visitor spending did decline by 2.4% due to a reduction in daily spending. The real estate market on Oahu remained stable during the first quarter of 2019 despite a moderate decrease in volume of home sales. Median sales price of the single-family home increased 2% while condominium sales prices decreased 3.2% compared with the first quarter last year. At the end of March, months of inventory of single-family homes and condominiums on Oahu were 3.4 months and 3.6 months respectively. Thanks again for joining us today and now we would be happy to respond to your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Jeff Rulis of D.A. Davidson. Your line is now open.
Jeff Rulis: Peter, maybe just a broader question on credit. It sounds like the addition was one per property. But I guess broadly speaking on credit, just the early warning signs for you, it look more to the consumer side or real estate that would indicate further softening is happening or what do you -- what do you guys discuss internally?
Peter Ho: Yeah, so obviously a lot more of those discussions of the recent past. We actually look at both factors. So I'll kind of kick this answer off and Mary maybe you could kind of clean up whatever I don't get taken care of, but -- but we're looking at monitoring scores, FICO, we're looking at LTVs, we're looking at intrinsic real estate values underneath both our consumer and commercial real estate books, we're looking for classified and credit trends on the commercial portfolios. And I guess the way that I would characterize it is, I'm somewhat a believer that we are certainly trending closer to the turn in the cycle. Although I would say that there is precious little from a quantitative standpoint, from an analytical standpoint at least in our portfolios, and at least in what we see in the -- local economy that would -- that would prove that out at this point. Mary, do you want to add anything?
Mary Sellers: No, I would agree. I think what we've seen to date in the commercial mortgage that went on non-accrual is kind of a idiosyncratic asset.
Peter Ho: Yeah.
Mary Sellers: And not really to make up of the entire book. As Peter mentioned, we continue to see stronger metrics in both originations and monitoring across the portfolio and clearly well below what we were seeing kind of in 2007. So we are seeing better quality in our book prior to that.
Peter Ho: Yeah.
Mary Sellers: But I think we're trying to take a thoughtful approach and watch what we see happening.
Peter Ho: Yeah, I mean, Q1 monitoring cycles were higher this quarter than they were a year ago. So consumer still seems to be in pretty good shape. Although -- our sales are off a bit, I talked a little bit about the residential housing market being a little softer volume wise, so we're watching closely, but so far -- so far so good.
Jeff Rulis: Okay, thanks for that. And just a question on the margin, you talked about flat to down maybe next quarter, but I guess, if we got an extended pause with the Fed, any preliminary starts on the second half of the year margin or a little further out on direction?
Dean Shigemura: Yeah, we -- at this point, we're looking at if rates kind of stay unchanged from where they are, flat to maybe even up a bit depending on our balance sheet growth.
Jeff Rulis: Okay. So that's further out than 2Q.
Dean Shigemura: Yeah, but I also want to emphasize that our net interest income forecast is still positive going out through the rest of the year.
Jeff Rulis: Okay. Thanks Dean.
Operator: Thank you. And our next question comes from Ebrahim Poonawala of Bank of America Merrill Lynch. Your line is now open.
Ebrahim Poonawala: Just one follow-up on the margin. If you just break down in terms of the -- where the securities yield was at -- following the restructuring and kind of where the NIM would have been ex the liquidity impact, just trying to get a sense of the boost received from doing the restructuring and how we should think about the securities yield going forward?
Dean Shigemura: On the securities yield, I quoted the differential at 114 basis points, that's on the taxable equivalent basis, but if you did versus the reported yield, it would be about a 155 basis points and the difference would show up in our tax rate, which is why we have a slightly higher tax rate. So based on that, the margin benefit would be about -- I would say about maybe three basis points to four basis points.
Ebrahim Poonawala: Got it. And just switching to the other side in terms of deposits, cost of interest bearing deposits went up 9 bps quarter-over-quarter, you see that kind of declining from your -- can you just talk a little bit about the pricing competition in the market?
Peter Ho: Yeah, I think that if in fact we see a pause in rate increases at the short end, I think thematically we will begin to be observing somewhat lighter deposit pressure rate wise. Having said that, there's -- the beauty of our deposit book is, there's a fair amount of latency built into the system. And so even though it appears that the Fed has taken a pause at the short end, it's not to say that we don't still have very low level depositors, low rate depositors coming forward and asking for somewhat better rate. These aren't people that have been following the market day-to-day. These are people that have been kind of out of the market for six months to a year plus. So, I guess my answer Ebrahim would be, I think if we've got a flat rate environment, we should see some pricing relief intermediate term, but that's not to say that in the process of getting there, there is still some latent demand I think coming into the -- coming across the transom.
Ebrahim Poonawala: Understood. And I assume that part of sort of the guidance Dean gave in the back half '19 for the margin implies that you might see loan to deposit ratio trend a little bit higher -- continue to trend higher?
Dean Shigemura: Correct, yes. Yeah.
Ebrahim Poonawala: And then just on that in terms of loan growth, we saw loan growth about 1% sequential growth. I heard your comments, just in terms of cycle and your thoughts around that. Should we expect loan growth to mirror what we've seen in 1Q or I believe in Jan, I think the expectation was that it would be more like 2018 where loan balances grew about 7% year-over-year?
Dean Shigemura: Yeah, I think that the year-on-year number, it's 6 -- 6.4%. I think that's a pretty good proxy for 2019. We had some -- we had some -- some early buy-out activity in our lease portfolio. You saw the construction book was a little bit light. We hopefully should pick up some of that towards the back of the year. And then the first quarter was just a disaster residential mortgage-wise, volume wise, but as of the past months with rates doing what they've done, there seems to be a real resurgence in that business. So I think those factors would push me, Ebrahim, more towards looking towards the year-over-year percentage versus the linked Q1 percentage.
Ebrahim Poonawala: Understood. Helpful. Thanks for taking my questions.
Operator: Thank you. And our next question comes from Aaron Deer of Sandler O'Neill & Partners. Your line is now open.
Aaron Deer: Great. Good morning, everyone. Just curious on the tax line, you've guided toward a higher number there. It sounds like tied to the repositioning. Is that, I guess, presumably than the smaller muni book going forward. Is there any other items in the first quarter other than the highlighted item that affected the tax rate? Is there anything related to stock compensation that might have elevated in the first quarter but also push that down from your full-year expectation?
Dean Shigemura: There is a bit on the first quarter that's seasonal related to the incentives, the vesting of some of our RSGs, but primarily it's going to be related to the muni book as well as that early buy-out item that we cited.
Aaron Deer: Okay. And any other expectations for -- any events on the expense line in the back half of the year where you guys are going to be doing any staff changes or branch reductions that could help out on that front or cause some one-time items through the air?
Dean Shigemura: You mean in terms of severance costs and things like that Aaron?
Aaron Deer: Severance costs or consolidations?
Dean Shigemura: I think that you're probably going to see in the space of severance numbers kind of a similar trend to what you've seen in the past couple of years. They're kind of episodically come in and out. Expense wise, I think we're -- I think I'm pleased with Q1, and I think the balance of the years was pretty nicely controlled, that's including some of those items as you described.
Aaron Deer: Okay, very good. Thanks for taking my questions.
Operator: Thank you. And our next question comes from Casey Haire of Jefferies. Your line is now open. And Casey, if your phone is on mute, please unmute.
Casey Haire: Good morning guys. How are you? I'm sorry about that. So, Peter just wanted to keep on the expense front for a little bit. So it sounds like you guys are keeping the guide up 2% to 3% on the year. You're tracking well below that in the first quarter here, just wondering what -- what's going to drive that -- what's going to be a pretty decent expense ramp in the back half of the year? Was there anything special in the first quarter, I guess?
Peter Ho: Well, okay. So I think that there is -- I'd say on the front end, we are pretty hard on some of our comp plans that as we kind of pushed towards mid-year here. I think we need to widen out a bit. So that could come into play in the latter quarters, Casey. But I think you're right, I think you're pressing on it two to three, I think is reasonable, but I think given where we are year-to-date, the two is looking pretty somewhat attainable, let me just put it that way.
Casey Haire: Got you.
Dean Shigemura: And I should also add that, we do have our merit increases -- the year-over-year merit increases that started in April.
Casey Haire: Okay, right. Yeah, okay. So that'll come and apply for sure. All right. And then like the net occupancy and the other lines, I thought were low, is there any -- are those sort of the new run rates going forward or is there anything pulling those down this quarter?
Peter Ho: Those are running towards a new run rates. We've been -- as you know, we've been very active in managing our retail square footage and I'm really pleased with some of the results that I've seen of late and those should be long-term systemic types of impacts for us.
Casey Haire: Okay, great. And just one last one from me, another one on the NIM. With the Fed on hold, what do you guys see in terms of loan yields going forward. Is -- I know it depends on mix, but can you hold this sort of 4.20% level you saw in the first quarter or is there -- is competition going to chip away at that?
Peter Ho: I'd tell you there's a ton of competition out there. So it is -- it is all over the place pricing wise, and beginning to trend towards terms and conditions as well. So we're feeling late cyclish competitively here. To answer your question, I think that -- I think the yields are going to be -- are going to be challenging. Just to try to land the business, we know we ought to be landing, I think there's going to be a lot of price pressure to get that.
Casey Haire: Great. Thank you.
Operator: Thank you. And our next question comes from Jackie Bohlen of KBW. Your line is open.
Jackie Bohlen: I just wanted to follow-up on fee income. Understood about the one-time nature of the insurance commission that happened in the quarter. Previously I've got my notes that you had talked about $42 million as a run rate. And even if I strip that out, we were still a bit above that and so kind of two parts. Number one, was there anything else that was you consider unusual in 1Q? And then number two, how do you feel about that level going forward?
Dean Shigemura: So you're right. We're levitating a bit above that because -- primarily because we had a very good quarter for interest rate, derivative activity, as well as foreign exchange derivative activity. And so, is there a possibility that we'll have that kind of income in the coming quarters, possible, actually we do have a pretty heavy book funding wise on the commercial front. So that bodes well for, at least, the interest rate side. But Jackie that does pretty episodic and it's tough to tell, but maybe. I guess -- I guess what I would say is $42 million, you feeling more like a floor these days than a ceiling.
Jackie Bohlen: Okay, that's helpful. And in relation to the insurance product commission, is that something and understanding that it's unique, is it repeatable or was it just truly something that came up and you were able to take advantage of?
Peter Ho: It repeats every time we renew the program. So it's not -- it's not quarterly for sure. It's not -- I don't think given annually.
Dean Shigemura: It's several years.
Jackie Bohlen: Okay. Okay, thank you. Everything else I had was already asked.
Operator: Thank you. [Operator Instructions] And our next question comes from Laurie Hunsicker of Compass Point. Your line is open.
Laurie Hunsicker: Great. Hi, thanks. Good morning. I just I wanted to stay with Jackie's question on the net interest income for a moment here. So within the trust and asset management line, can you just help us think about how tax practice going to play in as we look to this next quarter?
Dean Shigemura: Yeah, we've got a little bit of a bump in the first quarter, but we expect some in the second, just given the deadlines. So we would think of a little bit higher or kind of similar to what we had in the first quarter before coming back down on the tax prep side.
Laurie Hunsicker: Before coming back down, okay. And so at the peak, that's running about $400,000, $500,000 in there. Is that correct or...?
Dean Shigemura: Yeah, about there.
Laurie Hunsicker: Okay. Okay, great. And then in terms of deposit costs, can you talk a little bit about your -- your savings account represent 38% of your deposits. And that was a pretty big jump linked quarter, you went from those costing 32 basis points to those costing 47 basis points. How should we be thinking about that line and were there specials or...?
Dean Shigemura: This is on the saving...
Laurie Hunsicker: Yeah, on the savings, and there was -- there was a pretty big jump in balances, but there was a big jump in cost there.
Dean Shigemura: Yeah, that's kind of, if you look at how where our -- kind of our deposit gathering efforts are kind of a little bit more focused on, that's the area. Going forward, we expect that to maybe trend higher, but maybe not as at the same pace that we saw in the first quarter.
Laurie Hunsicker: Okay. Okay. And then do you have the amount of your -- the amount of your public deposits, the $1.2 billion. Do you have any amount that's the public time piece of that?
Dean Shigemura: Sure. Hold on. It is as of 3/31, $628 million.
Laurie Hunsicker: Great, okay.
Dean Shigemura: It's down $818 million a year ago.
Laurie Hunsicker: Okay.
Dean Shigemura: And by the way, in that space, we think that we maybe depending on the rate environment, Laurie, could be kind of flattening out on that line number.
Laurie Hunsicker: Okay. Okay. Yeah, I mean, it's basically flat from last quarter. Okay. I mean, still I guess just again going back to the deposit costs and as we think about -- I mean, obviously CDs were up, the biggest move there was savings. If we think about directionally where that could be heading as we look in the back half of the year, I mean, is it possible that that piece will hold it 55 basis points, 60 basis points or we should be thinking about that at a higher number?
Dean Shigemura: I think it will drift higher. It won't be -- it won't double, but certainly a little bit higher.
Laurie Hunsicker: Okay. I mean, your cost of deposits relative to mainland banks is still amazing, but it's just a bigger move. Okay, and so then just putting that together on margin, I just wanted to go back here. So obviously we saw your margin expand two basis points. But with the drop in premium amortization, if you're adding that back, your core margin just linked quarter going from fourth quarter to first quarter actually contracted, right. So you went from 3.30% to 3.28%. So when you're talking about a forward guide, how are you thinking about the premium amortization piece or is your guidance exclusive of that?
Dean Shigemura: The guidance would include any changes in that -- expected changes in that.
Laurie Hunsicker: Okay. And so can you help us in terms of what maybe you're thinking with respect to that?
Dean Shigemura: Well, what happens is, we look at the current rate environment and there is our prepayment expectations and that kind of factors into the yield.
Laurie Hunsicker: Sure. No, no, no, that I understand. I'm just trying to directionally understand. So in other words, even though your reported margin expanded, your core margin contracted just because of where premium am was in the fourth quarter versus the first quarter. And so if we were thinking about, you know modeling is just even as we look toward next quarter, what would we be thinking premium amortization that's in line with where you're suggesting? Are you suggesting -- and I realize that that line item jumps around. But, in other words, when you're giving a forward-looking number, are you thinking about a premium am in the same level as we're seeing for the March quarter or are you thinking about clustered in the fourth quarter?
Dean Shigemura: I don't have the exact number, but directionally I would think it would be a little higher.
Laurie Hunsicker: Okay, perfect. Thank you very much. I'll leave it there.
Operator: Thank you. And this does conclude our question-and-answer session. I would now like to turn the call back over to Cindy Wyrick for any closing remarks.
Cindy Wyrick: I'd like to thank everyone today for joining us and for your continued interest in Bank of Hawaii. As always, please feel free to contact me if you have any additional questions or need further clarification on any of the topics discussed today. Thanks everyone, and have a great day.
Operator: Ladies and gentlemen, thank you for participating today's conference. This concludes today's program. You may now disconnect.